Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter and Year-End Schiff Nutrition International Earnings Conference Call. My name is Sailey and I will be your operator for today. (Operator Instructions) I would now like to turn the conference over to your host for today, Kirsten Chapman. Please proceed.
Kirsten Chapman: Thank you, Sailey. Thank you all for joining us this morning for the Schiff Nutrition International fiscal 2010 fourth quarter and year-end results conference call. By now, you should have received a fax or e-mail of the press release. But if you've not, please contact us at Lippert/Heilshorn & Associates at 4154333777, and we will forward a copy immediately. As a reminder, this call my contain forward-looking statements of the risks of which are the same as those described in the Safe Harbor language in the Press Release and those detailed in the company’s SEC filings. Actual results may differ materially from those described during the call. With us from management today are Bruce Wood, President and Chief Executive Officer; and Joe Baty, Executive Vice President and Chief Financial Officer. Please go ahead, Bruce.
Bruce Wood: Thank you, Kirsten, and good morning, and welcome to our fourth quarter and year-end call for fiscal '10. We were pleased with our fourth quarter and full year results. During both periods, our branded net sales increased significantly, which more than offset a decline in Private Label net revenues and drove an overall increase of 7.7% in the fourth quarter and 7.4% for the year, as compared to the respective year-ago periods. On a quarter-over-quarter basis, we once again recorded significant improvement in our gross profit and operating margins. As a result, for the year, we delivered a strong operating performance and generated solid positive cash flow. That foundation, coupled with our strong cash position, led to the board's decision to return value to our shareholders via a $0.50 per share special dividend that was paid in April. During the fourth quarter, the overall Supplements category, as measured by IRI, continued its robust growth versus the year ago period, albeit at a rate lower than that of previous quarters. The Joint Care segment remained essentially stable on a quarter-over-quarter basis, while our other focus segment, Fish Oil, continued to grow strongly. With respect to the Joint Care business, we continue to support our flagship Move Free brand with a comprehensive marketing program, including national TV advertising, FSI couponing and loyalty promotions and grassroots PR programs targeted to both consumers and healthcare professionals. At the same time, we initiated activities to improve our pricing promotion competitiveness on Move Free in certain trade classes to address the ongoing intense competitive environment. Move Free net sales for fiscal '10 were stable overall. Our Schiff MegaRed Krill Oil brand continue to perform strong beginning the fourth quarter. And as expected, we achieved full mass-market retail distribution on MegaRed by the end of the quarter. MegaRed benefited from a full array of consumer marketing support in the form of national TV and print advertising, FSI couponing, PR support and customer-specific promotions. On the new product front, we shipped our new Schiff Mega-D3 product to certain customers during the quarter. Mega-D3s ingredients include a superior strength 5000 IU dose of vitamin B3 combined, with Resveratrol and Red Wine extract. As such, it offers a broad spectrum of health benefits, all in an easy to swallow soft gel. Mega-D3 capitalizes on the strong growth currently being experienced in the Vitamin D segment, and we expect to support the brand with consumer marketing to support its premium formulation and position. It's too early to read any sales trends, but we do expect to be able to update you on Mega-D3's progress in a subsequent call. At the same time, we continue to test other new products in market on a very selective basis with certain customers. We'll have more specifics to share with you on our next call in this regard as well. With respect to Private Label, as noted on our previous call, the business has become much more price competitive and volatile, as bidding processes have resulted in both wins and losses for most, if not all, major Private Label manufacturers. As a result, margins have declined in some cases significantly. We have held our own competitively speaking in terms of the wins and losses. However, we expect that Private Label business segment will continue to be volatile, and it's clear our gross margin will be impacted in fiscal '11 by the new competitive realities. Nevertheless, we believe we can compete effectively going forward based on our strong customer relationships, our reputation for quality and customer service and our solid financial health. In sum, our fiscal '10 results may prove to be a tough act to follow. We expect fiscal '11 to be profitable but challenging overall in comparison. And Joe will provide some more detail on guidance in our financial outlook in his remarks. Schiff's long-term goal remains to profitably grow our Branded and Private Label businesses while continuing to explore new, organic and external growth opportunities. We’re confident about our future prospects, and expect to continue to strengthen our financial and competitive position in the new fiscal year just begun. I'll now turn the call over to Joe for his comments.
Joe Baty: Thank you, Bruce, and good morning to everyone. Earlier today, we announced our financial results for the fourth quarter and year ended May 31, 2010. Fiscal 2010 fourth quarter net sales increased 7.7% to $49.3 million from fiscal 2009 fourth quarter net sales of $45.7 million. Consistent with prior guidance in March 2010, on a fourth quarter over fourth quarter basis, Branded sales increased and Private Label sales decreased. Aggregate branded sales amounted to $35 million and $30.5 million, respectively. And Private Label sales were $14.3 million and $15.2 million, respectively. Fiscal 2010 and 2009 net sales were $204.9 million and $190.7 million, respectively reflecting an overall increase of 7.4%, driven by Branded sales growth. Branded net sales increased 13.1% to $149 million from $131.8 million, primarily due to growth in our MegaRed business. The increase in Branded net sales also reflects relatively stable Joint Care category results and modest growth in our other Schiff and Tiger's Milk branded businesses. Private Label sales were $55.9 million and $58.9 million respectively. The overall 5.2% decrease in Private Label net sales as primarily due to business during the latter part of fiscal 2009. Gross profit, as a percentage of net sales, was 39.5% for the fiscal 2010 fourth quarter, compared to 30.7% for the fiscal 2009 fourth quarter. As compared to the fiscal 2009 fourth quarter, the gross profit percentage for the current quarter increased primarily due to a higher mix of branded sales and lower raw material cost, partially offset by an increase in manufacturing personnel related incentive cost. Consistent with expectations, gross profit percentage was 41.5% for fiscal 2010 compared to 35% for fiscal 2009. The overall year-over-year increase in gross profit percentage reflects, among other factors, the increased mix in Branded sales, lower raw material cost and promotional cost efficiencies. Total operating expenses were $15.6 million or 31.8% in net sales for the fiscal 2010 fourth quarter, compared to $13.5 million or 29.6% of net sales for the fiscal 2009 fourth quarter. Selling and marketing expenses for the fourth quarter increased as expected to 19.7% of net sales, primarily resulting from incremental advertising for both Move Free and MegaRed as compared to sport levels for the first nine months of fiscal 2010. The $1.3 million fourth quarter over fourth quarter increase for other operating expense primarily reflects management incentive plan costs. Selling and marketing expenses as a percentage of net sales decreased to 16.4% for fiscal 2010 from 17.7% for fiscal 2009. The decrease reflects the benefit of certain synergies realize from sales growth, including overall dollar cost at consumer marketing support. The $4.7 million increase in year-over-year other operating expense reflects full fiscal 2010 assessed impact of both current and long-term management incentive plan cost and research and development expense in support of new products. Operating income for the fiscal 2010 and 2009 fourth quarters was $3.8 million and $0.5 million, respectively. Operating income for fiscal 2010 and 2009 was $28.8 million and $15.2 million, respectively. Year-over-year and fourth quarter over fourth quarter operating margin improvement reflects the impact of a significantly higher gross profit margin, partially offset by the recognition of greater management incentive costs during the current periods. Other income net, primarily consisting of interest income, net of interest expense, was $0.2 million expense for fiscal 2010, as compared to $0.8 million income for fiscal 2009. The reduction primarily reflects a lower yield on investments and amortization of incremental cost associated with our credit facility. Effective tax rate for fiscal 2010 was 35.6% compared to 35.2% for fiscal 2009. As reported, net income diluted share was $0.08 for our fiscal 2010 fourth quarter compared to $0.02 for our fiscal 2009 fourth quarter and $0.64 for fiscal 2010, as compared to $0.36 for fiscal 2009. In regards to the balance sheet, working capital decreased to $79.4 million at May 31, 2010, from $92.2 million at May 31, 2009, primarily due to a reduction in cash and cash equivalents. At May 31, 2010, including both current and long-term investment securities, the company has $52.2 million in cash and cash equivalents, which reflects a year-over-year decrease of $5.3 million. Operating cash flows of $26.1 million were offset by $28.8 million in special dividend distributions and $2.9 million in capital expenditures. Year-over-year increase in inventories is primarily due to promotional timing considerations, new products and raw material buy-forward strategies. The increase in long-term assets primarily includes investment securities and certificates of deposit, with maturities greater than 12 months. The increase in current and long-term liabilities includes payables related inventories, accruals for both current and long-term management incentive costs and deferred dividend payments. Stock-based compensation expense amounted to $0.5 million and $0.2 million, respectively, for fiscal 2010 and 2009 fourth quarters, and $1.7 million and $0.6 million, respectively, for fiscal 2010 and 2009. Depreciation expense was constant at $0.8 million for the comparative quarters and $3.1 million for the comparative fiscal years. Subject to the ongoing impact of competitive pricing pressures, including from both Branded and Private Label products, success of new products and incremental Private Label bidding activity among other factors, we are currently forecasting a low single-digit net sales increase for fiscal 2011 as compared to fiscal 2010. We believe the increase will primarily be due to overall branded growth. While the Private Label bidding processes are not yet complete, we are currently budgeting fiscal 2011 Private Label sales to be relatively flat as compared to fiscal 2010. We are currently forecasting fiscal 2011 gross profit percentage to approximate 36% plus to 38% plus compared to 41.5% for fiscal 2010. The decrease reflects significant erosion in Private Label margins and expected increase in promotional activity and modest overall raw material pricing pressures, partially offset by the expected increase in branded sales. Subject to new product sales results and competitive pricing pressures, among other factors, selling and marketing costs as a percentage of net sales are forecast to approximate 15 plus percent to 17 plus percent for fiscal 2011. And we believe marketing costs will be greater in the first half of fiscal 2011, as compared to the first half of fiscal 2010. Other operating expenses net, including partial impact of certain long-term management incentive plans, may approximate $20.5 million to $21.5 million. We are currently forecasting a very low double-digit operating margin for fiscal 2011. We currently forecast capital expenditures for the next 12 months to approximate $5 million. This amount excludes consideration of certain vertical integration investment, which we are still evaluating. Our expected tax rate for fiscal 2011 is 36% to 38%. We expect operating cash flows will continue to be positive in fiscal 2011. Actual results for fiscal 2011may vary and are subject to, among other factors, the factors noted herein and in our public filings, our forecast will change as fiscal 2011 plays out. Again, thank you for your participation. And now I will turn the time back to our President, Bruce Wood.
Bruce Wood: Thanks, Joe. To sum up then, while we do expect a very competitive environment in fiscal '11, we believe we're well prepared to address the challenges and expect to continue to strengthen our competitive and financial position while at the same time building value for our shareholders. On that note, Joe and I are now ready for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Michael Gallo from CL King Associates.
Michael Gallo – CL King & Associates: Hi, good morning.
Bruce Wood: Hi, Mike.
Michael Gallo – CL King & Associates: Just a couple of questions. If you can give us just a little bit more commentary on where you stand with some of the new product launches, Mega-D3 is still in early tests or moving to expanded tests? And when do you expect that will start to hit the ground on some of the additional products and be able to get a read as to whether we might see a more expanded rollout?
Bruce Wood: Mike, this is Bruce. On the Mega-D3 front, as noted, it's still early to tell. It's being shipped into multiple customers and is just scaling up distribution wise in the retail stores. So we certainly expect to have more information at the point of our Q1 call, which should be late September with regard to Mega-D3. The others are in very selective markets and customers right now, and I would continue to describe them as limited tests and that's why I think we should wait a little longer before we comment on them.
Michael Gallo – CL King & Associates: All right. Okay. In terms of just the Private Label environment, obviously you're much further into this process. Is this something you expect to be concluded over the next few months? How set is it? Is there any change in the promotional cadence, and is this something that once we finish this reset, you’d expect to start to see some stabilization or is it something do you think is going to be an ongoing pressure for a while?
Joe Baty: Okay. For a sense, Mike, this is Joe. Good morning. And while we can’t – we certainly can't speak for the retailers; our sense is certainly more than halfway through it. But we do believe, it will continue here, at least for the next three to six months. And then we're hopeful that it's pretty much done for a while.
Michael Gallo – CL King & Associates: Okay. Just so I understand what's baked into your forecast, the 36% to 38%, I would assume just ongoing pressure and no improvement in that Private Label environment. Is that fair?
Joe Baty: Yes, that's a fair assumption. I mean we do believe there will be continuing pricing pressures for some additional bidding activity. And we're also making the assumption at this point that net-net, we’ll continue to offset any losses with some additional wins.
Michael Gallo – CL King & Associates: Okay, great. Thanks a lot.
Operator: Your next question comes from the line of Ian Corydon with B. Riley and Company.
Ian Corydon – B. Riley & Co., LLC: Thank you. On the raw material side, are you seeing pressures across the board or is that located in any specific products?
Joe Baty: Good morning. We’re just seeing a bit of a mix. I mean on certain fronts, our sense is there are some pressures. Part of that may be driven by some of the Private Label bidding activity that's been taking place and once we're further through that process, we're hoping some of that pressure settles down. And then on other fronts, we're seeing some softening. So in my comments, I stated at some overall modest raw material pressures will impact our gross profit expectations for fiscal '11. But both ups and downs on that front.
Ian Corydon – B. Riley & Co., LLC: Okay. And I'm not sure if I got the guidance correctly, but it sounded like the Private Label sales will be flat but gross margin down. So are you essentially keeping your existing business just at lower margins or is there a lot more underneath those numbers going on? In terms of existing –?
Joe Baty: Well it's a combination. As we noted before, back in March that there was a piece of business that we had lost. Since then, we've also won some business. So there's been some change in mix as for our Private Label business. And then there's been some of the business that we had historically that we've maintained. But primarily, there’s just whether you're maintaining business or winning new business. What we've seen and experienced so far is that your ability to be successful there is based on clearly lower pricing with the retailers.
Ian Corydon – B. Riley & Co., LLC: Okay. And last question is on the vertical integration and acquisition opportunities. When do you think you'll decide on what to do in terms of vertical integration and are there acquisition opportunities that would negate the need to do that or how are you looking at potential acquisitions?
Bruce Wood: Let me start with the vertical integration question first. I mean we just continue to evaluate that, and it's fairly significant investment. So we're, overall, reasonably pleased with our outsourced partners on some fronts. But if we believe that it does make sense to bring certain manufacturing in house and there is a pretty clear ROI on that, then we will proceed with that. My sense is before the end of this calendar year, we will make a decision one way or the other on that front. And part of that may be that just a decision as to whether our investment in becoming vertically integrated is buying versus building. And so to the second part of your question, are there acquisition opportunities? First up, just from a vertical integration standpoint, our sense is there are. However, again, it comes down to the economies of one versus the other, which we're still evaluating. And then beyond that, again as we've noted in the past, we clearly have interest in the right acquisitions that we believe will deliver pretty solid ROI and so forth, and maybe expand our classes of distribution and consider a few other things to some of our strength, and we do believe there will be opportunities going forward. Having said all that, again we are – all things considered, we're pretty confident that we will find some success, long term, just from an organic standpoint with our new products. So we'll evaluate acquisition opportunities as they avail themselves, but we're not looking to overpay for anything.
Operator: Your next question comes from the line of Greg Gilbert with Merrill Lynch.
Greg Gilbert – BofA Merrill Lynch: Thanks. Got a few questions. I want to start with getting a better understanding of Private Label weakness. As I understand, price competition comes and goes over time. But does this seem different in this case? Is there a structural change in the industry? Is it a new player? Can you put a little bit more meat on the bones there as to how typical this cycle is or how different it is from past cycles you've seen in terms of intensifying competition?
Bruce Wood: Well Greg, this is Bruce. As noted in our third quarter call, certainly we, as participant in bidding processes, that are routinely enacted by customers for Private Label business. We noted a stepped-up level of aggressiveness on the pricing. And certainly, between ownership changes and really behavior changes on some existing participants, there was more of a dedication to trying to win new business and mechanism, as you noted, generally is getting prices even lower. So versus other cyclical events on Private Label bidding, this seem to be more of a – at least permanent, as far as we can see forward, level of renewed aggressiveness on the part of more competitors and has been the case in the past.
Greg Gilbert – BofA Merrill Lynch: Have you seen that across most customers and most product lines within Private Label?
Bruce Wood: Within the supplements industry, yes.
Greg Gilbert – BofA Merrill Lynch: Okay. In terms of your Private Label profitability, what can you share in that regard in terms of its relative profitability and we know what direction it's going, but where is it currently?
Bruce Wood: Well, for competitive reasons as you may imagine, we don't actually break out the specifics as to Private Label profitability versus our Branded profitability. What we have stated is clearly from a gross profit percentage standpoint, your margins on your Branded business are going to be significantly higher than they are on the Private Label side. So we share that. The other thing we’d share is clearly, this Private Label bidding activity that's been taking place is at a significant impact on our Private Label margins. And beyond that, again for competitive reasons, we prefer not to comment.
Greg Gilbert – BofA Merrill Lynch: Are you seeing any effects on the brand pricing environment? You mentioned brand pricing aggressiveness, but is it affecting your brands and the ability to take price from key price?
Joe Baty: We haven't seen any significant impact on Branded margins at this point. However, I would also say that it may be too early to really evaluate that, given that a lot of this activity is just taking place within the last few months. And so some of the new pricing, presuming the retailers actually pass on some of their lower costs and so forth, may not even hit the shelf yet. So what the longer-term impact is on the brand side is probably a little difficult to say at this point.
Greg Gilbert – BofA Merrill Lynch: Just so I understand your raw material comments, the pricing pressure you alluded to, you said pushes and pull. But the net is a little bit more pressure on the upside than is typical. Is that the right way to characterize that?
Joe Baty: I don't know that I would say versus typical. I mean over the last number of years, there has been a number of pushes and a number of pulls, so use your phraseology there. So there’s ups and downs. Overall, there's – again if you break it down by raw materials, there’s certainly some that we felt some pressure and others we've seen some relief. I would say that's more – generally speaking, that's reasonably typical. However, again in the last number of years, there's certainly been a couple of periods where we've seen some significant increases, but as we sit here today, it's not over anticipating. But we'll update our thoughts on raw materials costing and so forth each quarter if we sense there's some significant change.
Greg Gilbert – BofA Merrill Lynch: Okay. And one last one. If I could ask you to take your crystal ball out and comment on the possible implications of your largest competitor going private, in any way that you care to comment on that. Thank you.
Bruce Wood: Greg, this is Bruce again. Certainly that was a notable event in our industry, and referring of course to the NBTY acquisition or at least to the signing of a definitive agreement by Carlyle. I guess our comment is that NBTY, historically, has been an aggressive competitor. And we don't see that necessarily changing under the new ownership. And it's entirely speculative as to what Carlisle might choose to do with the operations. It's large and complex, certainly by our standards. But we expect that, notwithstanding the fact there'll be some extra debt on the balance sheet, that there'll be an aggressive competitor going forward as they have been in the past.
Operator: (Operator Instructions) Your next question comes from the line of Marianne Manzolillo with Angelo, Gordon.
Marianne Manzolillo – Angelo, Gordon & Co.: Hi. Another question regarding the Private Label business, could you comment on the capacity? I mean has anyone added capacity that would perhaps some cause them to become more promotional or competitive or generally, what’s your sense is of the capacity utilization out there?
Joe Baty: Good morning, Marianne.
Marianne Manzolillo – Angelo, Gordon & Co.: Good morning.
Joe Baty: We can't speak specifically to all the capacity. Our sense is that there may be one or two players that have added capacity or clearly, looking to add some capacity. But that is somewhat speculative. As Bruce noted earlier, I mean the source of the pressure is probably multiple but there seem to be one or two players out there that are clearly been much more aggressive. Now maybe, that's partly due to them having some added capacity. But beyond that, we can't say anything matter-of-factly.
Marianne Manzolillo – Angelo, Gordon & Co.: And then what about Private Label’s share of the market? I believe you commented before it was kind of flat, that will be on a dollar basis. So I would assume it's growing on a unit basis?
Joe Baty: We don't – I mean your position is correct there, Marianne, in a dollar sense. And again the data is kind of limited. It's IRI-based so it's doesn't cover the entire category. But I think IRI is a reasonable proxy for the entire category. Private Label as a whole has been pretty stable. It has grown pretty much in large step with the brands and therefore the overall market at low double digits, 12%, 13% in the last 52 weeks. And so far as the unit growth is concerned, I would say the Private Label, and this is just a supposition or a guess because we don't strictly look at Private Label volume per se. But I don't know that Private Label pricing has moved differently than branded pricing. In other words, the volume trend is more or less, I think, highly correlated with the dollar trend.
Marianne Manzolillo – Angelo, Gordon & Co.: Oh, really? I would've thought by your comments that the unit, it would’ve grown more unit wise versus dollar wise.
Bruce Wood: Well as Joe just noted, it’s unclear as to whether some of the pricing aggressiveness that's been demonstrated at the wholesale level by suppliers to the retailers is going to be translated to lower retails in Private Label necessarily, and that's still to play out, as Joe noted. But certainly, the opportunity for Private Label to become more aggressive with lower price levels. But that’s – we're in a stage now where some of that pricing is just being implemented at the wholesale level, and it typically takes a while for the retail side to be impacted.
Marianne Manzolillo – Angelo, Gordon & Co.: That does make sense. Also approximately, what percentage of the market is represented by the IRI data? Would it be approximately 65-ish percent or so?
Bruce Wood: Are you referencing mass-market?
Marianne Manzolillo – Angelo, Gordon & Co.: Yes. Kind of what are the IRI –?
Bruce Wood: As opposed to the entire pie, which includes things like the health food store channel and practitioners and multilevel marketers, I mean, let me limit my comment to – and this is again more of a guess than a data-driven number, because there's large segments, notably the Club Cass of trade and Wal-Mart specifically don't divulge data. But I would say IRI is somewhere in the much lower than that. Probably 1/3 to 40%, maybe 50% of them at the max, relative to the total mass-market defined as all food stores, all drug stores, all club stores and convenience.
Operator: Your next question comes from the line of Damian Witkowski with Gabelli & Company, Inc.
Damian Witkowski – Gabelli & Company, Inc.: Good morning, Bruce. Good morning, Joe.
Bruce Wood: Hi, Damian.
Joe Baty: Hi.
Damian Witkowski – Gabelli & Company, Inc.: How are you?
Bruce Wood: Good. Thank you.
Damian Witkowski – Gabelli & Company, Inc.: Just wanted to follow up on NBTY, I know you've talked about this already a few times on this call. But it’s perhaps another way of looking at the situation that the fact that NBTY will next year have a much more levered balance sheet. You seem to imply that, that would make a more price, maybe more competitive on pricing, wanting to win more business. But is there a possibility, just looking on the industry and maybe some of that transpired in the past, that would actually make them want to keep higher margin. Actually, become more price sensitive and more price rational.
Bruce Wood: Well Damian, this is Bruce. I think what I said was expected them to be aggressive going forward as they have in the past. I didn't necessarily signal that I thought that they'd be more aggressive because they're pretty aggressive right now, to be perfectly honest. So I think it's too early to, other than speculate, that a lot of more debt on your balance sheet does tend to drive maybe more discipline with respect to pricing but that's entirely a speculative comment. But again, I think they're going to be aggressive. I believe that an outfit such as Carlyle buys a business to see it continue to grow and that means in this industry certainly, very competitive pricing.
Damian Witkowski – Gabelli & Company, Inc.: And give me a sense of how big they are in terms of Private Label business as a percent of the whole industry. I mean you don't have exact data, but are they the biggest player by far?
Bruce Wood: I would speculate so. I mean, they certainly have in their last call a couple of calls, I think, disclosed that their sales, Private Label as a percent of their total wholesale division were in the 40% range. That's percent of their sales, not – I know your question was percent of the total industry. It's such a – there's a lot of moving parts. It is fragmented in terms of supply, but at the same time, I would have to say NBTY. But by virtue of its acquisition of a line in addition to what it already have in a way of Private Label is a significant. The big gorilla on the block, clearly don't want to speculate on quantitative numbers, though. Damian Witkowski: Probably double the size of their nearest competitor, would that be a fair thing to say?
Bruce Wood: I think that's not an unreasonable guess. Yes, they've got a fair lead on the rest of the field.
Damian Witkowski – Gabelli & Company, Inc.: Okay. And then just going to the Mega-D3. I mean, how should we think about success, the way you look at it internally. Is that if it gets to, for something like this Mega-D3 product, would you expect it to be about the same ramp and size as MegaRed could be or are you expecting bigger things because it’s a bigger category, overall?
Bruce Wood: Well we'd love to have the same mark on Mega-D3 as we do on MegaRed as we’re currently experiencing it. It's too early to tell. I mean, there are similarities between the two categories, in the sense that both the underlying fish oil category is growing strongly, not strongly as Vitamin D category, although the Vitamin D category is less than half the size of the Omega category. So you've got a smaller category growing at a higher rate, in the case of Vitamin D, and how that translates to success on Mega-D3 is again, we'd love to have the same mark, but it's early to predict that at this point.
Damian Witkowski – Gabelli & Company, Inc.: And are you seeing anymore competition for MegaRed in the Krill category?
Bruce Wood: There's limited competition that has emerged so far. And the rumors [ph] that there will be more and I guess success invites that. It certainly invites new branded competition which we haven't seen. We've seen certain Private Label competitors emerge in certain customers just recently. And we are, of course, preparing a vigorous defense of the business as we continue to try to grow it.
Damian Witkowski – Gabelli & Company, Inc.: And just lastly, just the incremental finance charge that's due to the revolver that you've opened last year is that ongoing or is there a one-time charge?
Joe Baty: Damien, it's an ongoing. Just the fees associated with that facility from a non-U standpoint and the fees that we paid up front, which are amortized over the life of the facility. So it's not a significant thing, but it does factor in to the relationship between this year and last year on those costs. Damian Witkowski – Gabelli & Company, Inc: Okay. Thank you.
Bruce Wood: Thank you.
Operator: (Operator Instructions) Your next question is a follow-up question from Greg Gilbert with Merrill Lynch.
Greg Gilbert – BofA Merrill Lynch: Hi. Just wanted to follow-up, have there been any notable trends in the last few quarters in terms of where consumers are actually buying their vitamin Ds and brand or Private Label? Any notable shifts that you've been observing between maps and Club stores, specialty stores, groceries, et cetera?
Joe Baty: No, what I call sharp trends. I think the category is showing vitality across drug class of trade, club and the mass class of trade, when you look at the broad trends, Greg. There are other examples of companies doing well like Vitamin Shop in the health food store class of trade. That's a different segment of the market than we compete in aggressively and we're in there. But generally speaking, I know there are certainly an ongoing huge fight for business amongst the mass-market competitors. Wal-Mart being the big dog certainly has well-documented struggles in terms of its overall business. And generally speaking, you're seeing retailers trying to address issues of SKU assortment and how big and how small, trying to control inventory better, trying to drive store traffic on one end, improve Private Label as part of the mix. So these are all the key trends. And at this stage, I don't think any one class of trade or any one retailer is standing above the rest in terms of either success or necessarily failure, in that regard.
Greg Gilbert – BofA Merrill Lynch: Thank you.
Operator: This concludes the question-and-answer portion of the call. I will now hand the call back over to Mr. Bruce Wood.
Bruce Wood: Thank you, Sailey, and thank you all for your continued interest in Schiff. We look forward to reviewing our fiscal '11 Q1 results with you in late September. Good day.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect and have a great day.